Operator: Good day, and thank you for standing by. Welcome to the Q3 2024 L.B. Foster Earnings Conference Call. At this time, all participants are in listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s session is being recorded. I would now like to turn it over to Lisa Durante. Go ahead, Lisa.
Lisa Durante: Thank you, operator. Good morning, everyone, and welcome to L.B. Foster’s third quarter of 2024 earnings call. My name is Lisa Durante, the company’s Investor Relations Manager. Our President and CEO, John Kasel; and our Chief Financial Officer, Bill Thalman, will be presenting our third quarter operating results, market outlook and business developments this morning. We will start the call with John providing his commentary on the company’s third quarter performance. Bill will then review the company’s third quarter financial results. John will provide his perspective on market developments and company outlook in his closing comments. We’ll then open up the session for questions. Today’s slide presentation along with our earnings release and financial disclosures were posted on our website this morning and can be accessed on our Investor Relations’ page at lbfoster.com. Our comments this morning will follow the slides in the earnings presentation. Today’s discussion includes corrections made to the company’s previously reported financial statements as disclosed in the Form 10-K/A for 2023 and Forms 10-Q/A for the first and second quarters of 2024 filed with the Securities and Exchange Commission. Some statements we are making are forward-looking and represent our current view of our markets and business today. These forward-looking statements reflect our opinions only as of the date of this presentation and we undertake no obligation to revise or publicly release the results of any revisions to these statements in light of new information, except as required by securities laws. For more detailed risks, uncertainties and assumptions relating to our forward-looking statements, please see the disclosures in our earnings release and presentation. We’ll also discuss non-GAAP financial metrics and encourage you to carefully read our disclosures and reconciliation tables provided within today’s earnings release and presentation as you consider these metrics. So with that, let me turn the call over to John.
John Kasel: Thanks, Lisa, and hello everyone. Thank you for joining today for our third quarter earnings call. I’ll start today’s call by recognized and welcome Lisa Durante. Lisa was recently promoted to Manager of financial reporting Investor Relations. I’m also pleased to announce that Stephanie Schmidt has been promoted to an expanded role in our financial reporting team. We’re fortunate to have both Stephanie and Lisa leading our Investor Relations and financial reporting efforts and look forward to their continuing contributions. Congratulations Lisa and Stephanie. Turning into the quarter, we’re very pleased with the progress achieved during the third quarter as reflect in our exceptional profitability and cash generation results. These results clearly indicate our strategy to transform the profitability profile of our business is on track. The 23.8% gross margin report. It represents the highest level we’ve seen in over a decade. It was up 490 basis points over last year. The margin achieved we’re on $137.5 million in sales, which were down 5.4%, highlighting the improved portfolio profitability and efficiency. Net income in the quarter was $35.9 million, included a $30 million favorable tax valuation reserve adjustment, noting that our improving profitability trends allow us to release this provision. And adjusted EBITDA was $12.3 million, up 16.4% over the last year, despite the lower sales with the improved gross margins and lower SG&A expenses. As expected and in line with our normal seasonal working capital cycle, we also delivered a very strong quarter of cash generation with cash from operations totaling $24.7 million. Cash was deployed primarily to reduce our net debt by $17.7 million to $65.4 million at the quarter end. As a result of our lower debt levels and improving profitability, our gross leverage ratio improved by 0.8 times ending the quarter in an impressive 1.9 times. We also continued funding CapEx initiatives within the Rail Technology and Precast Concrete growth platforms. At the same time, we expanded our stock purchase program buying approximately 127,000 shares for $2.6 million during the quarter. With the third quarter results largely in line with our expectations, we made modest updates to our 2024 financial guidance. We lowered the sales expectations slightly, but maintain the midpoint of our adjusted EBITDA outlook in line with the improved earnings efficiency of the portfolio. And with the strong results achieved in the third quarter, we slightly increased our outlook with the second half free cash flow now expected to range between $30 million and $35 million. In summary, we’re very pleased with our third quarter results and look forward to writing our continuing momentum to a strong finish to 2024. And I’ll turn it over to Bill to cover the financial details for the quarter, and I’ll come back at the end with some closing remarks on our markets and outlook. Over to you, Bill.
William Thalman: Thanks John, and good morning, everyone. I’ll begin my comments covering the third quarter highlights on Slide 7. As always, the schedules in the appendix provide more information on our results including non-GAAP measures discussed on today’s call. Also, we’ll call out the impact of significant portfolio actions where meaningful. For the third quarter, the only inorganic impact is the bridge grid deck product line exit that was announced last year. Net sales for the quarter were down 5.4%, driven primarily by domestic rail commercial weakness with organic sales down 8.5%. Infrastructure organic sales were down approximately 2%. Despite the lower sales, gross profit grew to $32.8 million, up $5.3 million versus the prior year. Last year’s gross profit included $3.9 million in adverse impacts from the bridge grid deck exit contributing to the year-over-year improvement. The benefits of our strategic execution delivered a gross margin of 23.8% in Q3, the highest level achieved in over 10 years. Gross profit and margin improvement was realized in both Rail and Infrastructure, despite lower sales in both segments. I’ll impact sales and margin drivers by segment further on the slides ahead. Selling, general, and administrative costs in Q3 were $24.3 million, down $0.1 million from the prior year. The current quarter included $0.4 million in costs associated with a resolved legal matter and $0.8 million in costs associated with the previously announced enterprise restructuring program. These increases were offset by $0.8 million in lower employment costs and $0.7 million in lower bad debt expense. As a reminder, last year’s bad debt expense included a $0.9 million charge related to the bankruptcy of a UK customer. Net income for the quarter totaled $35.9 million, including $30 million due to a favorable tax valuation allowance adjustment. In 2022, we established a valuation allowance on our net deferred tax asset balance sheet position, including federal net operating loss carry forwards available. Accounting rules require the reserve at that time due to the level of cumulative pre-tax income in 2020 through 2022, as well as the trend in profitability during that period. As a result of the improving trend in financial performance in 2023 and 2024, we were able to release the federal tax valuation allowance in the third quarter resulting in the tax benefit this quarter. Note that as a result of releasing the valuation allowance, our effective tax rate will return to a more normal level of approximately 28% starting with the fourth quarter. The accounting change has no impact on cash taxes, which will remain at nominal levels given the approximately $100 million in federal NOLs available. The legal and enterprise restructuring costs previously mentioned were excluded from adjusted EBITDA for the quarter, and these amounts were approximately $0.4 million and $0.9 million, respectively in the third quarter. Adjusted EBITDA for the quarter was $12.3 million, up 16.4% versus last year due primarily to the gross profit improvement and lower SG&A. Cash generation for the quarter was strong with $24.7 million in cash from operations, up $6.1 million over last year’s third quarter. I’ll cover the deployment of operating cash flow along with some additional color on orders and backlog by segment later in the presentation. Slide 8 reflects the organic and portfolio driven impacts on sales and adjusted EBITDA for the quarter versus last year. As mentioned in my opening, the only remaining inorganic impact of note is the bridge grid deck exit. You will see this strategic decision is delivering improved results with $0.3 million of higher EBITDA, on $1.3 million in lower sales. In addition, this product line was working capital intensive while generating no financial returns. As a result of our decision to exit this product line, working capital is down $4.6 million from the first half of 2023, improving cash flow and financial flexibility. The legacy portfolio delivered $1.4 million higher adjusted EBITDA, despite $8.5 million lower organic sales driven primarily by the improved gross margin profile of our business portfolio. This improvement is highlighted on the trend charts on Slide #9. The sales trend on the left reflects organic growth we’ve delivered over the last 12 months, despite softer second and third quarter commercial conditions, primarily impacting the Rail segment. The trailing 12-month organic growth rate was still 3% with a greater sales mix coming from our growth platforms and the improved gross margin profile achieved as a result of our strategic transformation is evident with the chart on the right. Simply said, our growth platforms are becoming a larger percentage of our overall business and we believe there is more runway for growth ahead. On the next couple of slides, I’ll unpack the key drivers of this improvement by segment. Starting with Rail on Slide #10. Third quarter revenues totaling $79.5 million were down 8.5% from last year. The entire decline was organic and driven primarily by weaker commercial conditions in the Rail Products business unit. Partially offsetting this decline were higher volumes in in our Rail growth platforms, Global Friction Management and Total Track Monitoring. In addition, our UK business continues to show signs of recovery after a challenging period for their markets in 2023. Despite the lower sales, Rails margins of 23.2% were up 340 basis points year-over-year, driven by strength in our higher margin growth platforms as well as the ongoing recovery of the UK business. Highlighting an improving trend, third quarter Rail orders increased $2.9 million driven by strengthening Rail Products and Global Friction Management demand. These increases were tempered by a significant decline in orders in the UK business as we narrow our focus in those markets. Rail backlog was down $5 million entirely due to the UK, backlog for both the Rail Products and Friction Management businesses increased year-over-year. Turning to Infrastructure Solutions on Slide 11, segment revenue decreased $0.5 million or 0.9% due to the softness in our Protective Coatings and bridge product lines within Steel Products. This was partially offset by growth in Precast Concrete, which grew 10.5% year-over-year. Gross margins were up 720 basis points to 24.6%. Gross margins in the 2023 period included the impact from the bridge grid deck exit, which reduced gross profit by $3.9 million last year. The remaining improvement was due primarily to improve Precast margins, which were up 360 basis points. Infrastructure orders were $43.3 million, down $7.1 million from the prior year quarter due to softer demand across the Steel Products business unit, primarily in Protective Coatings. Our Concrete orders were up $3.6 million or 13.2% year-over-year. Backlog totaling $120.3 million was down $29.2 million with $4.5 million due to the bridge product line exit. The balance of the decline was realized across the Steel Products business unit and Precast Concrete backlog increased $1.6 million versus last year. I’ll next cover the key takeaways from our year-to-date results on Slide 12. Organic sales increased 1.5%, partially offset by a 3% decline from divestiture and exit activity. Organic sales growth was driven by the Rail segment as a result of the strong growth achieved in the first quarter. While Infrastructure sales are down $11.1 million, the majority of the decline is due to divestiture and product line exits. Precast Concrete sales are up 1% year-over-year with an improved margin trend. Gross profit improved $6.1 million, while gross profit margins of 22.2% improved 180 basis points. As a reminder, the 2023 gross profit was adversely impacted by the $3.9 million from the bridge grid deck exit. While 2024 gross profit includes a $0.8 million gain on a property sale completed in the second quarter. The balance of the improvement is due to business portfolio changes in line with the company’s strategic transformation coupled with overall favorable business mix. Selling, general, and administrative costs increased $1.6 million year-over-year. The increase is due primarily to $1.2 million in legal costs associated with a resolved legal matter. In addition, current year SG&A includes $1.1 million in other professional services expenses, including $0.8 million associated with the announced restructuring as well as $0.8 million in employee-related restructuring charges. These increased expenses were partially offset by lower employment costs and lower bad debt provisions. The $3.5 million net gain realized on the Magnolia JV property sale completed earlier this year as well as the legal costs and restructuring charges incurred were excluded from the 2024 year-to-date adjusted EBITDA, which was $26.3 million, up $0.7 million on a year-to-date basis with further growth expected in Q4. I’ll now cover liquidity and leverage on Slide 13. Net debt declined $17.7 million during the quarter to $65.4 million largely in line with our expectations. Our normal seasonal working capital cycle should result in net debt continuing to decline through the balance of the year. We increased our free cash flow outlook for the year and our updated guidance with second half free cash flow now expected to range between approximately $30 million to $35 million. This outlook considers the funding of corporate initiatives, including the enterprise restructuring previously-announced and the expected settlement of two defined benefit pension plans, one each in the U.S. and the UK. The total funding for the restructuring is expected to be approximately $1.4 million in 2024 with run rate savings totaling $4.5 million exiting 2024. The settlement of the two pension plans is expected to cost between $2 million and $2.5 million in funding and will eliminate the risk and burden of maintaining these two legacy programs. The outlook also includes the final payment of the Union Pacific legal settlement with $4 million due on December 1st. The completion of this funding requirement, which has impacted free cash flow by $8 million a year over the last 6 years, will provide a significant boost to our financial flexibility in 2025 and beyond. As a result of the lower levels of debt and improved profitability, our gross leverage ratio improved 0.8 times to 1.9 times at the end of Q3. This level is also favorable to 2.0 times last year, and in line with our longer-term leverage goals. We expect the leverage goal will continue to improve through the end of 2024. We also expanded our stock repurchase program using $2.6 million to purchase approximately 127,000 shares or 1.2% of shares outstanding. Since the program’s inception in February of 2023, we’ve repurchased about 331,000 shares or approximately 3% of common stock outstanding, utilizing total proceeds of $6.6 million. The current repurchase authorization expires in February of 2025 with $8.4 million remaining available. In summary, we continue to believe that the key drivers of strong sustainable free cash flow are in place and should continue to improve through the balance of 2024 and moving into 2025. I’ll next revisit our capital allocation priorities outlined on Slide 14. We continue to focus on managing leverage levels, while opportunistically investing in organic growth initiatives in Rail Technologies and Precast Concrete. Our announced restructuring program should further enable investment in growth platforms given the expected cost savings over the coming quarters. We’re comfortable with gross leverage around 2 times, and the prospects for improving profitability and cash generation should provide enhanced opportunities for capital allocation, while maintaining this leverage level over time. Capital spending is expected to run at approximately 1.5% to 2% of sales over the long-term with spending levels slightly elevated in 2024 due to investments in our growth platforms. We continue to consider small tuck-in acquisitions that extend our product portfolio within our growth platforms. While we don’t foresee any imminent transactions, we continue to develop the opportunity pipeline with an eye towards inorganic profitable growth in 2025 and beyond. Finally, we plan to continue the prudent execution of our stock buyback program to return excess capital to shareholders, while maintaining a balanced view of leverage and growth. My closing comments will refer to Slides 15 and 16, covering orders, revenues and backlog trends by business. The book-to-bill ratio over the trailing 12 months was 0.94 to 1, up slightly from last quarter, which reflects lower order rates in both segments coupled with strong order book execution and improved lead times. Rail order rates have begun to recover with the trailing 12-month book-to-bill ratio at 0.99 to 1, including a 41.3% increase in friction management orders in Q3. Lower orders across the Steel Products businesses drove the lower infrastructure book-to-bill ratio. As mentioned earlier, Precast Concrete orders were up 13.2% in the third quarter. And lastly, on Slide 16, consolidated backlog was down $34 million from the record high level seen last year with both segments experiencing declines. The Rail segment backlog is down $5 million or 5.3% due to our UK business as we scale back initiatives in the UK market in line with our strategy. Infrastructure backlog was down $29.2 million or 19.6%, but the entire decline due to Steel Products. Precast Concrete backlog improved $1.6 million or approximately 2%. The $30.8 million decline in Steel Products backlog is due to the lower demand levels across the business unit as well as $4.5 million from product line exits. Despite the lower backlog levels, we remain optimistic in the outlook for profitable growth with the focus on driving demand generation and our growth platforms of Rail Technologies and Precast Concrete. In summary, we had a strong third quarter result and we look forward to finishing 2024 with a similar performance. While our revised financial guidance implies slightly lower organic sales in the fourth quarter, the midpoint of our adjusted EBITDA guidance would be a 50% increase over last year’s fourth quarter. Coupled with continued progress on cash generation, debt reduction and improved economic returns, we are well positioned to wrap up the year with strong momentum. Thanks for the time this morning. I’ll now hand it back over to John for his closing remarks. John?
John Kasel: Thanks, Bill. Please refer to Slide 18 for an overview of our key business market drivers underpinning our outlook. Bill mentioned that our trailing 12-month book-to-bill ratio improved slightly in the third quarter. The improvement was realized in the Rail segment with improving demand in both Rail Products and Global Friction Management. The recovery of market conditions for our UK business remains on track. Here in North America, we started to see some increased quoting and project activity in the rail market, which would translate to solid growth for our Rail Products revenue in future quarters. Quoting activity for Total Track Monitoring solutions also continues on the positive trend. And I’m pleased to say that we’re beginning to be awarded business with new product technologies in this space. With the increased focus on rail safety, operating efficiency and reliability, we expect this trend to continue to 2025 and beyond. While demand levels in the Rail segment are improving, infrastructure markets are somewhat choppy. The infrastructure book-to-bill ratio declined in recent quarter due to continuing weakness in Steel Products. But let me start by highlighting the positive developments of Precast Concrete. Business in this product remains robust with demand in our CXT buildings bolstered by the funding from the Great American Outdoors Act is continuing on record levels. In addition, we are in the process of commissioning a facility in Central Florida to produce Envirocast wall system. This organic strategic action is to service the booming regional residential and light industrial commercial real estate markets in that area. Our licensed technology offers an attractive solution for builders who are faced with rising costs and construction delays due to lack of labor and materials for traditional construction methods. We believe this factory built modular concrete wall system positioned in the weather challenged area of Central Florida will lead to substantial precast growth for years to come. In contrast to Precast Concrete business activity and Steel Products remain somewhat soft pretty much across the board, particularly for the bridge forms and gas pipeline coating services. We are aware where we’re seeing solid coating activity in these markets indicating some level of pent-up demand, but project orders have not yet been released. We’re also expecting that the completion of the election cycle here in the U.S. will create some certainty for our customers allowing them to proceed with much needed work in the bridge and pipeline infrastructure. In summary, overall prospects for long-term sustainable growth should remain strong in light of the infrastructure investment super cycle we expect for years to come. Most importantly, demand levels in our growth platforms of Rail Technologies and Precast Concrete remain robust, which should translate into expanding profitable growth and returns. As you know, I’d like to revisit our investment thesis each quarter. The third quarter is an excellent example of why we believe L.B. Foster is an attractive investment as depicted on Slide 19. So let me unpack this. First, we’ve taken the strategic steps necessary to transform our business portfolio and the results were clearly demonstrated with robust growth and profitability delivered in third quarter, despite lower sales level. Second, the drivers for long-term organic growth are in place, while third quarter total sales were down year-over-year due to weakness of Steel Products and Rail Products. Organic growth was realized in both growth platforms of Rail Technologies and Precast Concrete. The multiple year infrastructure investment super-cycle we expect for years to come should translate into steady growth for our returns platforms and accelerate growth for Rail Technologies and Precast Concrete. Third, our capital light business model coupled with steady profitability improvements and the completion of our Union Pacific settlement payments should translate into increased free cash flow moving to 2025, our third quarter results highlight the cash generating power of our business. Fourth, we have a disciplined capital allocation approach with multiple drivers that have been deployed in creating value for our shareholders. As evidence of that, we expanded our stock repurchase program third quarter and we’ll continue to deploy capital across our priorities. Of course, this is in a balanced, prudent and strategic way. So in summary, we believe our strategy is sound and our execution along these four pillars should deliver improving results through 2024 and beyond. On Slide 20, I’d like to close today’s call by thanking our team for their commitment to our strategy and congratulate them on strong third quarter. If we recall, Bill and I have been highlighting that we expect to deliver strong profitability growth in cash generation in the second half of 2024. As you can see, we delivered on both in the third quarter and we are well positioned to finish 2024 in the same way. Thank you for your time and continuing interest in L.B. Foster. I’ll turn it back to the operator for the Q&A session.
Operator: Thank you. At this time, we will conduct the question-and-answer session. [Operator Instructions] Our first question comes from Chris Sakai with Singular Research. Go ahead, Chris.
Christopher Sakai: Hi, John and Bill, good morning.
John Kasel: Hi, Chris.
Christopher Sakai: So, just I’m looking at the 2025 revenue goal targets. Can you help kind of shed some color on, I guess, what we’re expected to see, I guess next year that’ll really help boost that revenue number to get to the target?
John Kasel: Yeah, good question. Thanks, Chris. We’re getting kind of line of sight what’s going on with the balance of the quarter and, right now, activity is strong. If you see what our guidance shows us landing between $530 million and $540 million for the balance of the year on sales, and then uplifting with revenue targets for $$580 million to $620 million next year. So I’m sure that’s where your question’s going and that’s where it’s happening. It is coming in our growth platforms and it’s coming through sales. We feel very good about our margins. I think we’re about 22.2% year-to-date with a strong quarter at 23.8%. So we feel very, very good what’s going on in our margins and our portfolio. So it’s all about the organics, yeah, I mentioned what we’re happening right now in Florida, which is an extension of our recent acquisition that we made in Tennessee. So we feel very good what’s going on and continue to grow our concrete business. We – Bill talked in great depth of what’s happening with Total Track Monitoring and the Friction Management business. Both those two are doing extremely, extremely well and we have great opportunities, all organic line of sight that we’re going to continue to build off these growth platforms through the balance of this year and, more importantly, into next year.
Christopher Sakai: Okay. Thanks. And then gross margins of 23.8% this quarter. That was good. Was this quarter more of an anomaly quarter or how should we be looking at gross margins next quarter and into 2025?
John Kasel: Well, you can see the number if you look at 2025 is between 22% and what 23%. So, obviously, this is a higher run rate. But, Chris, this is our strategy. Our strategy is continuing to transform the company to technology innovation company and we’re doing it. So, yeah, there was a very good quarter, and as Bill and I both mentioned, we haven’t seen numbers like this since it’s been 10 years, but that’s what we expect in this business. So we are going to continue to push the top-line, but it’s really about bottom-line return by managing our SG&A and continuing to get these margins as it relates to bringing innovation to the marketplace specifically on the rail and the precast markets.
Christopher Sakai: Okay. Great. Thanks for the answer.
John Kasel: Thanks, Chris.
Operator: Thank you, Chris, for your question. Our next question comes from John Bair with Ascend Wealth Advisors. Go ahead, John.
John Bair: Thank you. It’s Bair. There’s no L in there. No L’s in a couple of months, anyways. Good morning, John and Bill.
John Kasel: Good morning, John.
John Bair: Yeah, a couple of questions here for you. On your Slide 18, you are showing commissioning a facility in Central Florida, and I apologize if I missed a comment on this, but how long do you believe it’ll take to get that up and running and what kind of CapEx is required to build that facility?
John Kasel: We’ve been working on this for a while. It’s a brownfield installation, so that means we’re partnering with a very large precaster, one of the largest precasters in Central Florida. We felt that was the best way to come to the market, enter the market with the infrastructure already there is related to making the product. And then, of course, we bring in the commercial side and the technical side, the engineering side. So it’s a wonderful partnership that we forged. It’s been now 3 years. We started a relationship with that company. So we feel very, very good about it. Ground has been broken. We are expecting to be making our first product by the end of this year. So capital based upon the way we set it up, we were targeting between $3.5 million to $4 million in capital. So, again, if you go back to investment thesis, we talk about being capital white. This is another great example where we really go in and we do it the right way. We spend enough money, but it’s not a heavy capital call. It’s about taking our products to the market, but doing it with channel partners. They really know what they’re doing and, more importantly, we’re very excited about these opportunities in the Central Florida market.
John Bair: Okay. And then are your projections for 2025 on as far as revenue build in a run rate kind of for this particular facility in that market?
John Kasel: That’s right. Yeah, so if you go back to what Chris Sakai’s question was, because we got to increase the sales that’s going year-over-year. So, keep in mind our strategy’s been about managing our portfolio, so we’ve been really taking that top-line down over the last couple of years, right, in 2021. That’s behind us now. So our portfolio’s in place and now we’re going to continue to grow and much of that revenue is coming through all, in fact all of us coming through organics, and this is a great example of it.
John Bair: And so that $3 million to $4 million at CapEx towards this project is basically behind you as well, right?
John Kasel: Yeah, of course, we’re spending a little bit, yeah. The major tranche of it is behind us. Yes.
John Bair: Yeah. So adding the last $4 million of the Union Pacific deal, get that behind you, that’s a pretty nice swing.
John Kasel: Yeah, thanks for bringing that up. Yeah, that’s for…
John Bair: Putting both of those together. That’s pretty significant. So, yeah, my other question for you, you mentioned about bolt-ons, would targeted bolt-ons be focused on U.S. operations as opposed to Europe or elsewhere?
John Kasel: Yes. Today about 95% of our sales is North America. We not going to stray away from that. We feel very bullish of what’s going on. We do believe there’s investment super-cycle. We do believe there’s a lot of pent-up demand right now, and I think we’re in a good place here in the U.S. specifically to take advantage of that for years to come.
John Bair: Right. Very good. Thanks very much for taking the questions and hope to see you soon. Take care.
John Kasel: Yeah. Take care, John.
John Bair: Yeah.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would now like to turn it back over to John Kasel for closing remarks. Go ahead, John.
John Kasel: I really appreciate it, Mark. And more importantly, I want to appreciate the team that’s sitting in the room with me today. We got a group that has done just a tremendous amount of heavy lifting here and the work that we put out to the market, I think second section to none as far as the information, the transparency, the level of detail, and this group here has worked night and day getting ourselves ready for today’s call, as well as other things that we need to get done and doing board meetings as well. So I’d like to start with Bill Thalman, who heads up the group. I look at Bill as a partner that – we run the business with, and his guidance and leadership has been up in short, tremendous and his input that he brings to the party is second to none. Recent coming in was [Sean Riley] [ph], who brought – Bill brought Sean over and has done just a tremendous job of bringing a team together that’s nothing short of world class team. So, which starts with Joe Kisucky. Joe’s done a tremendous job. Again, these are the people behind the scenes really making things happen. I mentioned two of them right off the start, Lisa Durante just moved up from his nice role with a promotion. And then, Stephanie Schmidt who’s been really carrying up the load and now again recently promoted to a larger role within the company. So I really like to thank this team for what they’ve done and more importantly really putting us in a favorable position of how we go up to market. To me, it’s all about restoring credibility. And that’s first and foremost within the company and the second is with the shareholders. And I think the package information and our transparency and information of how we do it, more importantly, how we present ourselves is second to none. So I’d like to, again, thank this team and all that they’ve done and will continue to do so. So with that, thank you for joining us for the third quarter. And Bill and I and this team look very, very much forward to finishing up a very strong and strong fourth quarter as we talked about and, more importantly, really getting into 2025 and continuing to put this company on the map. Thanks for your interest in L.B. Foster and have a great holiday season. We look forward to talking to you in March of next year. Take care.
Operator: Thank you for your participation in today’s conference. This does conclude the program. You may now disconnect.